Operator: Thank you for standing by. Welcome to NOV Inc's Third Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder today's program is being recorded. And now I would like to introduce your host for today's program, Amie D'Ambrosio, Director of Investor Relations. Please go ahead.
Amie D'Ambrosio: Welcome, everyone, to NOV's third quarter 2024 earnings conference call. With me today are Clay Williams, our Chairman, President and CEO; and Jose Bayardo, our Senior Vice President and CFO. Before we begin, I would like to remind you that some of today's comments are forward-looking statements within the meaning of the federal securities laws. They involve risks and uncertainty, and actual results may differ materially. No one should assume these forward-looking statements remain valid later in the quarter or later in the year. For a more detailed discussion of the major risk factors affecting our business, please refer to our latest Forms 10-K and 10-Q filed with the Securities and Exchange Commission. Our comments also include non-GAAP measures. Reconciliations to the nearest corresponding GAAP measures are in our earnings release available on our website. On a U.S. GAAP basis, for the third quarter of 2024, NOV reported revenues of $2.19 billion and a net income of $130 million or $0.33 per fully diluted share. Our use of the term EBITDA throughout this morning's call corresponds with the term adjusted EBITDA, as defined in our earnings release. Later in the call, we will host a question-and-answer session. Please limit yourself to one question and one follow-up to permit more participation. Now, let me turn the call over to Clay.
Clay Williams: Thank you, Amie. Strong execution in the third quarter of 2024 enabled NOV to deliver higher EBITDA and margins both sequentially and year-over-year and cash flow improved significantly compared to the third quarter of 2023 as a result. Rising long-cycle capital equipment revenues helped to offset declines in drill pipe in certain shorter-cycle products and services tied to activity, resulting in consolidated revenues of $2.2 billion. Consolidated revenues improved modestly compared to the third quarter of 2023, but were down about 1% compared to the second quarter of 2024. EBITDA improved to $286 million, up 2% sequentially and up 7% year-over-year, and margins moved up to 13.1%, helped by higher margin backlog, lower costs and improved operational efficiency. The company posted fully diluted GAAP earnings of $0.33 per share, up $0.04 per share year-over-year. The third quarter saw our customers growing increasingly concerned about the global macro environment. Sliding Chinese oil demand, excess OPEC capacity and potential non-OPEC oversupply are pressuring commodity prices. As a result, oil and gas operators and service companies are becoming incrementally more cautious in their near-term spending decisions. Despite these emerging headwinds, we remain bullish on the long-term demand for oil and, in particular, natural gas over the next decade, given AI-driven electricity demand is forecast to rise sharply in the United States and stronger global economic growth will inevitably drive demand for more oil and gas. We believe this long-term view is shared by our E&P customers as evidenced by their continued development of profitable projects in deepwater and an emerging unconventional shale basins around the world. Final investment decisions, or FIDs, are continuing to move forward. Recent announcements include the greenfield development of a Kaskida's high-pressure reservoir in the Gulf of Mexico, a feat made possible by NOV's development of leading 20,000 psi or 20k equipment. Other announcements include development projects in offshore Suriname and additional gas facilities in the Middle East. Our customers' commitments for these substantial capital investments give us confidence in the continued recovery of the offshore space and the development of unconventional shale in international basins over the long-term and both will require NOV's unique equipment and technology. Next month, we will mark the 10-year anniversary of OPEC's 2014 decision to take back market share for North American shale producers. At that time, OPEC declined to impose additional quota restrictions, which would have ceded further market share to the rising supply of shale oil from the United States. This prompted a significant sustained decline in global oil prices. North American shale oil supply built on the application of novel and expensive drilling and stimulation techniques was regarded as a high marginal cost source, certainly a much higher cost per barrel source than Middle Eastern oil. North American shale was expected to be crippled by low oil price. It didn't exactly play out like that. Shale entrepreneurs employing horizontal drilling and hydraulic fracture stimulation and marginal rocks doubled down on efficiency to survive and the relentless pursuit of lower marginal costs led to more than just survival. The U.S. shale oil patch thrived and rocketed U.S. production from 6 million barrels per day to over 13 million barrels of oil per day. Instead of losing market share, U.S. unconventional shale gained share since OPEC's 2014 meeting. And notably, investments in offshore and many international onshore fields collapsed. These became collateral damage victims of the market share war with shale. Shale innovation has been astounding, rates of penetration and footage drilled per day and the complex horizontal wells required to make shale work had doubled in 10 years, while lateral lengths have nearly doubled, increasing from 6,000 feet to 10,000 feet with many now targeting 15,000 feet and even 20,000 foot laterals. Hydraulic fracture treatment has posted similarly astonishing productivity gains. I note this because it has important implications for NOV and the rest of the industry for the next several years. Unconventional basins in North America are maturing. We can debate the remaining inventory of Tier 1 drilling locations, but there's no question that there are fewer today than there were this time last year. As pressures decline basin-wide, gas oil ratios, NGL cuts and API gravity are rising. Cost of capital to shale producers is far higher than it was a decade ago. Investors are more demanding that capital will be returned to them, leading to widespread capital discipline magnified by recent widespread consolidation amongst shale producers. Many forecasts were calling for decelerating U.S. production growth next year as a result. While I'm certainly not ready to call the peak of U.S. production growth, I do think it must be close to at least plateauing. And I think many of our international and offshore customers view unrestrained U.S. production growth as much less of a threat than it was in the early days of the shale revolution. To put it in perspective, U.S. shale is responsible for more than 80% of global oil supply growth over the last decade and it crowded out investments in many or most other sources of oil along the way, places like the deepwater offshore. But that is changing and the resumption of FIDs and the sanctioning of the projects, I noted earlier, are good examples. Deepwater exploration and development has recovered post-COVID in South America and West Africa and Eastern Mediterranean and the Gulf of Mexico Wilcox. 2023 global exploration investments were up 40% from the 2015 to 2022 average. Reengineering and standardization have lowered breakevens to $40 a barrel or less, and offshore producers have increased their FIDs to around $100 billion a year since COVID. This is prompting rising orders for FPSOs and production kit as shipyards have filled and the supply chain for these has tightened, the quoted delivery dates for FPSOs have pushed out. This is delayed first oil and diminished the urgency of E&Ps to contract offshore drilling rigs, cooling demand and flattening day rate growth in the past several months. A phenomenon our drilling contractor customers refer to as white space or uncontracted time in their calendars. We now believe the white space effect is starting to slow some of the spending plans of our drilling contractor customers into 2025. For example, we were informed a couple of weeks ago of a decision by one of our customers to delay, not cancel, but delay the planned upgrade of two offshore rigs. While we expect some to continue to invest in their offshore rigs to these periods of white space, like another customer that booked two hookload upgrades to convert 6 gen drillships to 7th generation. We know others are probably thinking about slowing their near-term expenditures. I think most foresee higher drilling activity in 2026 and beyond as demand accelerates on the backside of the FPSO supply chain catch-up. So our early expectation is for demand for offshore drilling equipment as well as aftermarket spares and support for offshore drilling rigs to decline modestly into early 2025 and then see demand grow again in the second half of 2025. In contrast to the market for drilling equipment, we see demand for the offshore production equipment that we made continuing to grow. Over the past decade, we have added turret mooring systems and swivel stacks flexible pipe, gas and seawater processing systems, offloading systems, pump and composite piping products and a myriad of other key technologies to enable profitable deepwater production. Preliminarily, we believe rising demand for production kit will be able to fully offset sliding demand for drilling rig equipment offshore in the coming year. Our third quarter numbers provide good evidence. Solid demand for offshore production-related equipment continued to drive strong orders for the Energy Equipment segment. Total bookings of $627 million led to a book-to-bill of 111% for the third quarter, bringing book-to-bill to 123% year-to-date. Backlog for flexible pipe for deepwater developments eclipsed $1 billion for the first time ever. NOV's Energy Equipment segment posted a 2% increase in offshore revenues compared to the third quarter of last year. The third quarter saw higher revenues from offshore stimulation equipment and deepwater rig upgrades to 20k partially offset by lower revenues related to wind turbine installation vessels. The segment improved its EBITDA margin 260 basis points year-over-year on improved execution around its flexible pipe, pumps, mixers and production processing capital equipment orders. However, despite the growth within Energy Equipment segment, NOV's overall consolidated revenues for the offshore declined 2% year-over-year as Energy Products & Services segment's offshore revenue fell due to sharply lower drill pipe shipments and conductor pipe connection sales, both of which tend to be volatile quarter-to-quarter. However, the good news is that we saw a significant increase in orders for offshore drill pipe, up 64% sequentially and our strong backlog for offshore conductor pipe connections are expected to lead to improved offshore results in the fourth quarter for the segment. So to summarize, while we foresee modestly weaker demand for drilling equipment for the next few quarters, we believe demand for offshore production systems will continue to grow. Turning to international land markets. National oil companies in certain areas are embracing technologies pioneered by North American shale producers and applying these to unconventional rocks. Argentina, Saudi Arabia, United Arab Emirates are all pursuing unconventional development opportunities at scale. This is an important opportunity for NOV across multiple product lines. First, this will require better rigs. The North American shale revolution was preceded by a build-out of modern drilling technology as the drilling rig fleet was first converted to fit-for-purpose AC rigs with high setbacks and high-pressure mud systems. Second, specialized tools for hydraulic fracturing and coiled tubing for plug drill-outs were required at scale. Third, innovations and plugs, tow valves, sliding sleeves, burst port subs and other completion tools were required. And now for us, better downhole bits, drilling motors, friction reduction tools and portional vibration mitigation tools, along with higher torque capacity drill pipe are being required to push laterals out three miles or more. NOV leads in almost every category I mentioned and the growing unconventional shale activity in places like the Vaca Muerta formation or the Jafurah Field point to greater growth in the future for NOV. For example, this past quarter, our Series 55 drilling motor, that has dazzled customers in West Texas, completed its first international run in the Middle East. Energy Equipment, again, saw solid year-over-year mid-single-digit growth into international land markets, led by chokes and gas processing equipment and new AC rig technology for the Middle East. Energy Products & Services posted more modest year-over-year growth with strong demand for PDC bits, completion tools and composite pipe systems to support unconventional developments offset by declines in drill pipe sales in the Middle East. Finally, turning to North America land. Activity continues to be subdued as consolidation, efficiency gains, capital discipline, oil price uncertainty and very low gas prices are taking a toll on overall short-cycle activity. And frankly, at this time, we don't see much that points to activity improvement through the end of the year. The good news for NOV is that we continue to outperform activity declines owing to technically better products we've introduced over the past few years. NOV's new technologies have led to material market share gains and everything from PDC bits, where we've recaptured the number one position in North America, the drilling motors, friction reduction tools, torsional vibration mitigation tools. All these technologies continue to set performance records for our customers as they drill ever longer horizontal wells. Our Energy Products & Services segment posted a modest increase in North American revenues year-over-year during the third quarter, helped by our acquisition of the extract electrical submersible pump business along with these market share gains. Composite pipe revenues for this market declined as E&P consolidation pushed projects out, but we are seeing many of these projects restart now. Energy Equipment posted a 6% increase in North American sales during the third quarter despite its sale of pull products since the third quarter of last year. Strong shipments of Ideal eFrac pumpers and high demand for drilling robotics tools and mud plant upgrades contributed to the strong performance. The key to NOV's steady improvements in the absence of a major capital equipment build-out cycle is our capacity to innovate, to improve results for our customers, including new digital technologies. For example, our drilling instrumentation and digital data acquisition services secured a 20-plus rig fleet of a major Texas-based exploration and production company during the quarter. Chosen for our differentiator service and technology, our edge to cloud digital capabilities enabled by our proprietary MAX platform are driving better efficiency for this operation, our trusted supplier to the industry's leading operators. Our profitability improved in the quarter. We acknowledge that achieving our 2024 exit margin target will be challenging. Nevertheless, we remain focused on the things we can control, driving operational efficiency and optimizing our cost structure. We are confident we can navigate the current market dynamics and grow profitably even if the path to reaching our margin and return goals elongates a bit. In sum, NOV is well positioned to capitalize on the evolving multiyear up cycle, I'm grateful to our extraordinary NOV employees who deliver our portfolio of innovative technology and are committed to improving business efficiency. I'm confident they will continue to drive strong financial performance. To all those listening, thank you. Jose?
Jose Bayardo: Thank you, Clay. Overall, despite a few emerging headwinds, Q3 was a solid quarter for NOV. As Clay mentioned, profitability, backlog and cash flow improved on a modest increase in revenue compared to the third quarter of 2023. NOV's consolidated EBITDA improved 7% year-over-year to $286 million, with margins increasing 90 basis points to 13.1% of sales. The steadily improving quality of our capital equipment project backlog, along with efforts to improve our operational efficiencies more than offset the typical effect declining North American drilling activity has on our higher incremental margin shorter-cycle businesses. Cash flow from operations totaled a healthy $359 million due to higher levels of profitability and improving working capital efficiencies. Capital expenditures totaled $82 million, resulting in $277 million of free cash flow. Year-to-date, NOV generated $480 million of free cash flow, and we expect our fourth quarter results will put us comfortably beyond our target of converting at least 50% of our EBITDA to free cash flow for the year. We repurchased 80 million of our shares and paid a $29 million dividend, returning $109 million to our shareholders in the third quarter. To recap our return of capital framework, our top priorities are to maintain a strong balance sheet make investments that are in the best long-term interest of our shareholders and return excess capital to our shareholders. Our balance sheet is in optimal condition with a net debt leverage ratio below one. The gross debt leverage ratio well below two and we have more than ample free cash flow to maintain our asset base, invest in organic growth opportunities and pursue opportunistic M&A. Our acquisition strategy is focused on smaller technology-focused rifle-shot opportunities that accelerate existing strategic objectives and that can be completed at compelling valuations. Consistent with this strategy, in early October, we completed the acquisition of Fortress Downhole Tools. Fortress developed a patented setting tool technology and unique recycling program that offers proven reliability, reduced downtime and significantly less waste compared to conventional field redressable and disposable setting tools. The business complements our existing completion tools portfolio and is run by a great team, which we were excited to welcome to the NOV family. Our return of capital framework calls for us to return at least 50% of excess free cash flow, defined as cash flow from operations, less capital expenditures and other investments, including acquisitions annually. Through September 30, 2024, we returned $196 million to our shareholders meaning that we have returned 49% of our excess free cash flow, which accounts for a net $76 million invested in acquisitions, leaving us well positioned to return at least 50% of excess free cash flow for the year. If we do not achieve this threshold to our base dividends and share repurchases during the year, we'll pay a supplemental dividend in early 2025 to meet this objective. Moving on to segment results. Energy Products & Services segment generated revenues of $1 billion in the third quarter, a 3% decrease compared to the third quarter of 2023. EBITDA decreased $25 million to $172 million year-over-year or 17.1% of sales, due primarily to a decline in drill pipe sales and the effect of lower U.S. drilling activity, partially offset by contributions from our recent Artificial Lift acquisition. As a reminder, our Energy Products and Services segment generates income from three revenue streams: services and rentals, consumable products and sales of shorter lived capital equipment. The segment sales mix for the quarter was 51% service and rentals, 29% capital equipment sales and 20% product sales. Revenue from service and rentals include tubular coating and inspection services, solids control services, drilling data acquisition, analytics and optimization services and rentals of our downhole drilling tools, drill bits and artificial lift equipment. During the third quarter, revenue from NOV service and rental businesses increased in the low-single digits year-over-year with market share gains from new technology introductions and the contribution from our new Artificial Lift business more than offsetting the effect that a 10% decline in U.S. drilling activity would typically have on this more North American weighted revenue stream. Excluding the contribution from our Artificial Lift business, revenues from service and rentals were flat year-over-year. Capital equipment sales within the Energy Products and Services segment include drill pipe, conductor pipe connections, composite pipe and tanks, shale shakers and managed pressure drilling equipment. Sales of the segment's capital equipment fell in the upper teens year-over-year primarily due to the sharp decline in drill pipe shipments and conductor pipe connections. As Clay mentioned, orders for drill pipe increased significantly in the third quarter, allowing the operation to improve its backlog for the first time in over a year, and we expect a pickup in conductor pipe connection deliveries in the fourth quarter. In the segment's other capital equipment businesses, sales from our fiberglass operation decreased in the mid-single-digit percent range compared to the third quarter of 2023 with lower shipments in composite and equipment for industrial markets, partially offset by an increase in sales of composite pipe and tanks into oil and gas and fuel handling markets. The segment realized a strong increase in solid control equipment deliveries into the Eastern Hemisphere, but shipments of managed pressure drilling equipment declined year-over-year due to strong deliveries in 2023 that did not repeat. Revenue from product sales, which include shorter lived and consumable products used in drilling and completion operations, improved in the upper teens year-over-year. Excluding the acquisition of our Artificial Lift business, revenue was down low single digits with fewer sales of glass reinforced epoxy tubular liners and drilling tool packages, only partially offset by a significant increase in drill bit sales into Africa and Asia. For the fourth quarter, we expect revenues for our Energy Products and Services segment to be down between 1% and 3% when compared to the fourth quarter of 2023, but up mid-single digits sequentially with EBITDA between $170 million and $185 million. Moving to our Energy Equipment segment. Revenue for the third quarter of 2024 was $1.219 billion, a $24 million or 2% increase year-over-year compared to the third quarter of 2023. EBITDA improved $35 million year-over-year to $159 million or 13% of sales, representing an incremental flow-through of over 100%. The robust incremental margins and margin progression over the last several quarters is a result of the improving quality of the segment's backlog as well as efforts to improve operational efficiencies, all of which helped the segment achieve 9 straight quarters of year-over-year margin improvement. During the third quarter, sales of capital equipment accounted for approximately 54% of the segment's revenues, unchanged from the second quarter of 2024 and mostly unchanged from the approximately 55% in the third quarter of 2023. Aftermarket sales and service accounted for the remaining 46% of revenue in the third quarter of 2024. Drilling equipment aftermarket sales, which account for the majority of the segment's aftermarket revenue, improved mid-single digits year-over-year led by higher spare part shipments as well as higher service revenue for many upgrade reactivation and recertification projects. Due in large part to the production-related constraints that Clay described, the amount of white space is weighing more heavily on our offshore drilling contractor customers, which will affect some of their spending. We expect many customers to take advantage of this potential downtime to complete upgrades that will increase their capabilities for higher-end work, improve efficiencies and enhance safety. However, as Clay discussed, with fewer anticipated offshore drilling days, we expect a modest decline in aftermarket spares and support in early 2025 before recovery in contracting for our customers drives our demand higher in the second half of the year.Aftermarket revenues for intervention and stimulation equipment improved mid-single digits year-over-year, led by strong shipments of spares into the Eastern Hemisphere for wireline and coiled tubing equipment and increased deliveries of our advanced thermally processed coiled tubing strings in North America. Switching to the capital equipment portion of the Energy Equipment segment, revenues were essentially flat compared to the third quarter of 2023. Normalizing for the divestiture of our pole products business, revenues improved in the low single-digit range with solid growth in intervention and stimulation, drilling, gas processing and subsea equipment sales more than offsetting a decline in revenue from offshore wind installation vessel projects. Sales of intervention and stimulation equipment improved in the mid-teens compared to the third quarter of 2023, in large part due to the delivery of 40,000 horsepower of eFrac pumps along with two Power Pod systems that will allow our customers to operate the pumps in tandem with conventional pumps. We also delivered a few dual fuel frac pumps as our pressure pumping customers continue to replace worn-out assets with higher spec equipment that can operate more efficiently and have a lower total cost of ownership in an environment where frac intensity continues to increase the strain on equipment. Sales of drilling equipment improved north of 20% year-over-year from greater progress on projects, including the 20,000 psi subsea equipment upgrade for an ultra-deepwater drillship we booked earlier this year and the high-spec land rigs we are building in Saudi Arabia. Our marine and construction operation realized a sizable decline in revenue due to several wind turbine installation vessel projects nearing completion while more recently booked orders for cable lay and crane projects slowly ramp up. Orders totaled $627 million, translating into a book-to-bill of 111%. Ending backlog was $4.5 billion, the highest level in over 5 years. Our drilling equipment business booked orders for two additional robotic systems from a repeat customer. And as Clay mentioned, booked orders to convert sixth-generation drillships into 7th generation technology rigs. The upgrades include larger load path equipment, associated structural enhancements and the latest rig controls and monitoring technology and are prime examples of how we expect our customers to take advantage of white space between projects in 2025. Demand for wireline and coiled tubing equipment in Eastern Hemisphere remains solid, while the market remains soft for intervention and stimulation equipment in North America. However, pressure pumping customers continue to kick tires and express the desire to replace worn-out assets. As Clay mentioned, our subsea flexible pipe operation had a high order intake during the third quarter, achieving a record high backlog and the unit has already received another large order that will ensure it delivers another quarter with a book-to-bill greater than one in the fourth quarter. Strength in demand for offshore production equipment also drove very strong bookings for our Marine and Construction business. The operation booked 14 cranes, reflecting strong demand needed for offshore production-related activities. It also illustrates NOV's leadership in providing leading-edge active heat compensation and all electric crane technologies. While we did not book a wind turbine installation vessel order in the third quarter nor do we expect one near-term due to delayed project FIDs and uncertainty regarding the size of turbines that will be used in future developments. We do expect additional opportunities to emerge in 2025 and see potential for meaningfully higher demand in 2026 and 2027 based on current expectations on the timing of offshore wind development FIDs. The operation continues to see solid demand for inter-array cable lay vessels and expect to book an order within the next one to two quarters. Overall, order and quoting activity remained resilient for the segment, giving us confidence that we will realize a book-to-bill greater than one again in the fourth quarter. We expect the Energy Equipment segment to realize a slightly more muted than usual seasonal improvement in revenues in the fourth quarter due to strong deliveries of stimulation equipment in the third quarter that will not repeat and lower progress on gas processing projects, resulting in revenues that will be flat to up slightly sequentially with EBITDA between $155 million and $165 million. With that, we'll now open the call to questions.
Operator: [Operator Instructions] Our first question comes from the line of Jim Rollyson from Raymond James. Your question, please.
James Rollyson: Hey. Good morning, everyone.
Clay Williams: Good morning, Jim.
James Rollyson: You guys just mentioned the subsea flexible orders obviously added backlog this quarter and other backlog addition going into the fourth quarter. And obviously, we've heard from your peers like everyone across the board seems like they've had very good order flow from that perspective. Maybe just a little color on how you see that going into next year since that seems to be obviously an important part of the business?
Clay Williams: You bet, Jim. In my prepared remarks, I spoke to sort of emerging supply chain elongation and constraints around FPSOs. This is sort of a subset of that. These flexible pipes are used in deepwater to connect wellheads to the FPSO vessels. And they compete with rigid pipe, which takes a lot more construction vessel time to weld rigid pipe. So they install a lot more quickly. And what we've seen is really strong demand. I know our competitors have seen that as well that are, again, another piece of evidence that point to really good profitability and growth in deepwater offshore field developments. And so that's what's fueling all this. And so – but it's certain to get really interesting because I think, I can't speak for our competitors, but I know we are – deliveries are starting to push out into 2026 and beyond. But there's part of that sort of supply chain constraint emerging around the kit required for deepwater developments.
James Rollyson: That's helpful. And maybe if I take a step back and kind of think bigger picture, when you look at all the different moving parts that have kind of evolved here in the last four to six months, some of the short-cycle stuff that you mentioned and some of the underlying kind of longer-term deepwater and other projects that you guys still sound like you're pretty bullish on, how are you thinking about today? And I realize this isn't a 2025 guidance time yet, but just high level, how are you thinking about kind of revenue growth rates next year versus where you might have been three, four, five months ago? And maybe as you stretched out just because you're kind of looking at things ramping back up as you get into the back half of next year, maybe just kind of how you see this trajectory going over the next couple two, three years given the changes that have happened since last quarter?
Clay Williams: Yes. It's a really good question. It's one that we're engaged in here internally as we put together our 2025 plans with each of our business units. And what I would tell you is, look, it's become clearly more incrementally challenged as we noted in our press release and in our prepared remarks and some concerns emerging around commodity price and economic growth globally. But nevertheless, we've got a lot of good momentum, I think, coming into 2025. I think 2024 marked the fourth year in a row that our backlog has increased and increase materially and selling a lot more of that production kit like flexible pipe into all of the projects that are being developed in the deepwater. We think those will continue. Some headwinds emerging amongst our contract – offshore contract drillers that NOV serves. But we think those are going to be limited. And I believe they share our view that in 2026 and beyond, offshore drilling activity is going to get back to growth as the rest of the supply chain catches up. And so that's a pretty good backdrop for NOV, I think, to generate some revenue growth in 2025. One of the wildcards that we talked about, I think, last call was, what's going on in North America, and that's certainly been slowing throughout 2024 more than we expected, frankly, when we entered the year. But I think there's cause for optimism here, too, as the gas LNG takeaway capacity expands if gas can catch a bid, I think – which I think that's more likely in 2025, and I think that will be helpful for us here as well. So on the whole, very bullish on continued development in deepwater around profitable oil developments around profitable gas developments now in deepwater and selling into LNG, very bullish on continued development of unconventional resources internationally, which is really kind of a first, I think, for the industry. And then I think some cost for optimism in 2025 with natural gas in North America. But on the whole, economic growth and commodity prices still remain a wildcard. And so that's kind of where we are right now. I hope that's helpful.
James Rollyson: Yes. Appreciate your thoughts. Thanks.
Operator: Thank you. And our next question comes from the line of Marc Bianchi from TD Cowen. Your question please.
Marc Bianchi: Thank you. I was hopeful that you could talk a little bit more about the margin progression here in the guidance for fourth quarter because revenue is up a little bit and the margins are sort of flat to down. So you just unpack that because I would have thought there was some maybe some cost savings benefit, better price backlog that should be a tailwind here?
Clay Williams: Yes. Good question, Marc. What I'd tell you specifically on Q4 is that we've got a couple of business-specific mix shifts that are underway that are not in the right direction. Both segments, I think we're guiding up, Jose just guided up modestly Q4 versus Q3. But the leverage, I think, in both is going to be limited. Turning first to Energy Products and Services, we had really strong bit shipments in the Eastern Hemisphere. We have a national oil company, customers over there that buy bits in bulk and maybe buy once a year. And those shipments went out in Q3. They're not going to recur in Q4. That's a really good margin work, and additionally, we think demand for ESPs is going to be down, also a very strong margin. Those revenues will be more than replaced so by higher drill pipe shipments and higher composite pipe shipments, and I think at a little bit lower margin. So the mix there is working against us in Q4. In Energy Equipment, similar sort of picture, I think wind turbine installation vessel is going to continue to move down again in Q4 as it did in Q3 and be replaced by wind tower shipments that will more than offset that. And so that results in a little bit of an adverse mix shift. So that's what's underway in Q4 around our guidance. With respect to 2025, what I would tell you is we continue to focus on our plans, which include cost savings targeting specific business units and product lines that are underperforming our return criteria, and so that will contribute. But I think one of the big movers is the continued improvement of our backlog, the margins in our backlog – I think, better contracts, better payment terms with those contracts will contribute more in 2025, and that will help on the margin front. It goes without saying we're disappointed that we're going to fall short of kind of our mid-teens guidance for exit margins in Q4, which we entered the year with. What I would tell you is when I reflect back to where we started in the year, it's really been a market in North America that's been less cooperative. I think we came into the year, the consensus across the industry was sort of flattish activity. I think it's continued to be a tougher market. And EPS in particular, with 51% of its mix coming from North America has been more affected by those market trends. And so again, if natural gas turns around in North America in 2025, that will certainly be helpful with respect to getting back on track to achieving that. But I'd tell you, we're very, very laser focused on better margins, better returns and continuing to execute the business in that direction.
Marc Bianchi: Yes. Okay. That's a great answer, Clay. Thanks. I also wanted to understand a little bit more about sort of the severity of some of these headwinds that you guys are calling out, got just sort of broader activity a bit weaker. And then you kind of talked about this aftermarket issue for the offshore market. So as we look into the beginning of 2025, you usually have some seasonal decline from 4Q to 1Q. But I'm just kind of wondering, do you feel confident that like EBITDA levels in the first half can still be up year-over-year? Or is it too tough to call right now?
Clay Williams: Well, I'm going to say, again, we're overall optimistic about 2025 and the recovery in the offshore. What changed in the third quarter, it's embedded in our comments here really is that, we are hearing from a few more drilling contractors around, hey, wait a minute, we're not – this white space is sort of taking a toll, one. Two, we saw a little lower orders on aftermarket spares in the third quarter than that's been running for the past couple of years. And we dial all that in. I want to be careful to not to overstate that. I mentioned in my prepared remarks, we had a customer push back the upgrade of two offshore rigs but we've had other orders placed to increase the capabilities of offshore rigs. In just the past 60 days, I think we've had a total of five mobile offshore rigs and one platform rig approach us about new projects that they are now planning for 2025. So we've got some other customers kind of entering into our planning process around offshore rig projects for 2025 wanting to take advantage of that white space to get some work done on their rigs. And so it's kind of – it's a little bit in flux now is the way, is the way I would describe it. But overall, I just wanted to communicate, we're more cautious on – in the drilling space around drilling capital equipment demand and trend – recent trends that we're seeing in lower spare parts orders and the impact that, that could have on our 2025 results.
Marc Bianchi: Okay, great. Thanks, Clay. I appreciate the comments. I'll turn it back.
Clay Williams: Yes. Thanks, Marc. You bet. Thank you.
Operator: Thank you. And our next question comes from the line of Arun Jayaram from JPMorgan. Your question please.
Arun Jayaram: Yes. Good morning.
Clay Williams: Good morning, Arun.
Arun Jayaram: Yes. Good morning. Clay, I was wondering if you could elaborate on your commentary that you expect, call it, rising demand for production equipment to maybe offset some of the softer demand trends for rig capital equipment? I was wondering if you could maybe elaborate on that and help us think about some of the margin implications as well as maybe discuss some of the chunkier opportunities in production equipment? And I'm thinking about FPSOs.
Clay Williams: Sure. Yes. That comment, Arun, is based on the fact that we've seen stronger book-to-bills broadly across our portfolio of production-related equipment and Energy Equipment segment and we have seen in the past few quarters around drilling equipment, drilling equipment has been good. But what's really sort of growing more strongly are orders for that production equipment. And as I mentioned in my prepared remarks, between turret mooring systems and gas processing technologies and flexible pipe, we've done a lot in the last 10 years to build out a more robust portfolio in that space. And so as the deepwater recovers, it's translating to higher orders in that space, and we're certainly delighted to see that. And so it's just a comment that I think that's going to continue to grow more rapidly than demand for drilling equipment. I would add, too, that we also sell a lot into – a lot of those technologies are also sold into the unconventional field development onshore that I mentioned as well. And so that's another growth driver, I think, for orders that we've seen around composite piping systems and chokes and separators and that sort of thing.
Jose Bayardo: Hey, Arun, something I want to tag onto that. So when we're talking about kind of our expectations for rig aftermarket and rig capital equipment, we really are talking about a modest – a very modest trend down there, right? So just to kind of put things in perspective, Clay talked quite a bit about the puts and takes that we always see with our contractor customers in terms of which projects move forward and which ones don't. But we have a really good track record related to kind of understanding what that project backlog looks like coming into the year and how that generally holds up as we progress through the year. So to put things in perspective, last year at this time, we had about 111 projects that we were working on with our customers and today, that number is 109. So again, no guarantees to how that will hold up, but we feel pretty good about that. So I just want to be clear that we're really looking at the rig aftermarket trend down as something that's maybe a mid to mid upper single-digit type decline year-over-year. And as it relates to capital equipment, we actually feel pretty good about that. With the backlog that we have as of today for rig capital equipment, which – for our plan, which is really flat to down very low single digits going into 2025. We've already got 70% of that in backlog today. And as we look into the middle part of next year. And I think the view of our contractor customers and their customers, there's going to be a lot more activity in 2026 and beyond, which should result in a lot more contracting by mid-year and assuming that does take place, we'll see a good pickup in terms of people wanting to get back to work, get their rigs ready to go and be prepared for drilling campaigns in early 2026. So hopefully, that additional commentary helps. But no doubt, it will be down a little bit. We're confident that kind of what we're seeing from a production – offshore production equipment standpoint, will more than – will at least offset that, if not more than offset that based on how our backlog has been building in those areas.
Arun Jayaram: Great. That's super helpful, Jose. Just a follow-up would be understanding there's a little bit of uncertainty in the market today. Can you help us think about some of the puts and takes on just margin expansion opportunities or margin trends in 2025 versus 2024? I do recall that you had a couple of, call it, projects which we're moving through the system, Clay, that maybe end in the early part of next year, which maybe gives us some tailwinds, and you did mention how the margins in backlog probably are better on a year-over-year basis. But maybe you can run through some of the puts and takes on margins in 2025?
Clay Williams: Yes. Arun. And Arun, thanks for pointing that out. We did have some – we have had some projects. Those are rapidly slipping out of our backlog and delighted to see it because they haven't been helpful for the margins. We also have a couple of frame agreements that were quite large signed at sort of the depths of the COVID era, that were susceptible to the inflationary pressures that we've seen since then, and those are also moving out of the backlog. So this sort of steady high grading of the backlog and the work that we're executing has been a good tailwind for energy equipment’s margins. And I think you see that in the numbers, and that should continue as we move into 2025. That will be a big driver. Then the other big tailwind would again be the sort of targeted cost savings that we have coming up.
Jose Bayardo: And one other element that's not quite as significant as those two, but still impactful going forward is the commercialization of some of the new products and technologies that drive more value for our customers and ultimately command better pricing in the marketplace. We've had really good success with those products, at least partially offsetting the declines that have been taking place within North America that's allowed us to garner market share. And here, this last quarter, we saw several of our businesses introduce those technologies into some of the key Middle Eastern and international markets and have really good initial reception. So we're optimistic that we'll continue to gain share, not just in North America but also in some of the international markets as well. So I feel really good about the ability to continue to drive margins incrementally higher in 2025 despite an outlook that has been tempered just a little bit from an activity standpoint.
Arun Jayaram: Thanks, Jose. I'll turn it back.
Jose Bayardo: Thank you.
Operator: Thank you. And our next question comes from the line of Neil Mehta from Goldman Sachs. Your question please.
Neil Mehta: Good morning, Clay and team. Thanks for taking the time. My first question is just around geographies. Just maybe you can walk us through the different parts of the world that you're operating in. And where are you seeing accelerating momentum and where you're seeing more challenges? You have a unique perspective on the global oil and gas landscape and so would love your insights?
Clay Williams: You bet, Neil. So as I mentioned earlier, I think the offshore, deepwater in particular, is very exciting. The success that operators have achieved in new exploration basins in Namibia and the Orange Basin, some really good discoveries there. Senegal has got some activity. West Africa is picking back up. Further to the west, you've got Brazil, very active deepwater. You've got a lot of success in Guyana, Suriname the 20K opportunities and the Paleogene in the Gulf of Mexico, all good. So the Golden Triangle, as it's called, very active with good exploration successes and I think the industry has done a good job reducing the marginal cost of development and production of those barrels and they also are low-carbon barrels and so a lot of attraction there. The North Sea is kind of a mixed picture, thanks to tax policies. Norway has been very busy and active. The UK far less so. Eastern Mediterranean, the Black Sea, we've got activity in the Caspian. So around the world, the offshore is kind of coming back to life. And that's really good to see because it's been conspicuously absent for a decade plus. The other area that is really exciting for us is, again, the pursuit of unconventional development at scale in the Middle East, where Jose and I were recently, and NOV is selling a lot of kit into that. I know we're mostly thought of as kind of a drilling rig, drilling technology company, but there's a lot of production and composite piping systems that are going into that chokes and processing and all that. And so it's a much bigger level of participation and some investors may realize in that, along with all the drilling and completion technologies that we provide. And then likewise, in Argentina, it was down there in – during the third quarter. And the Vaca Muerta development is heating up and, again, at scale, another great opportunity for NOV with significant changes, too, with the new administration around capital repatriation rules and the like. And so I think it's going to become a much more interesting market for NOV. So I would highlight those areas as being particularly strong and places where NOV can add a lot of value.
Neil Mehta: Thanks, Clay. And then just talk a little bit about the free cash flow progression. There was a good cash flow quarter. And as you go into 2025, 2026, how do you see that shaping up and then translate that into a return of capital and your framework between buybacks and dividends there?
Jose Bayardo: Yes, Neil, I'll go ahead and take that one. So yes, I mean, I think really the year is playing out kind of the way that we anticipated it would and I'd say our outlook for the next several years continues to be the same, which is one in which NOV should continue to generate very healthy levels of free cash flow. So coming into this year, I think in Q3 of last year, we had kind of called that we were making the turn in terms of the buildup, in terms of the really strong topline growth that was consuming a bit of working capital and saw that shifting as we sort of moved into a more moderate but still growing environment. We stated early on in the year that we were expecting that we would convert at least 50% of our EBITDA to free cash flow, which we're well on track to do that this year, specifically related to the remainder of 2024. So we had exceptional free cash flow in Q2, another really strong quarter of free cash flow in Q3. As you know, sometimes our payments move in really chunky amounts. So there's always some puts and takes at quarter end. We had some things go our way. So Q3 was a little bit better than anticipated. That will have a little bit of a drag on Q4, but we still anticipate a strong Q4 from a free cash flow standpoint. And then as I touched on for 2025 and 2026 and beyond, we don't see any reason why we shouldn't still have similar conversions of EBITDA to free cash flow. So feel really good about things going forward.
Neil Mehta: Thanks, Clay.
Clay Williams: Thanks, Neil.
Operator: Thank you. And our next question comes from the line of Kurt Hallead from Benchmark. Your question please.
Kurt Hallead: Hey. Good morning, everybody.
Clay Williams: Hi, Kurt.
Jose Bayardo: Hi, Kurt.
Kurt Hallead: I always appreciate the insight and the color. I just want to make sure I understand one of the things that you guys are trying to message here, okay? Is that, if I heard you correctly, if I didn't, please correct me then? In a overall flattish environment for 2025 with respect to your business, right, with some things weakening, some things improving, you still expect to drive meaningful margin improvement and that margin improvement then would mostly come from better margin backlog and some cost savings? And in the context, if I understood that correctly up to this point, what kind of cost savings are you looking to drive in 2025?
Clay Williams: Yes, it's a good question. As I said earlier, Kurt, we're very focused on better results and using cost savings – continue to use cost savings as a way to get there. I'm going to stop short of quantifying that for you partly because we're in the middle of our 2025 planning process and working through that. We have kind of an ongoing list of initiatives across our business. But I think at this point, we want to wait until we kind of get through the business reviews with our product line managers and business heads. But I will tell you we are continuing to focus on getting better through cost savings and then, again, focused on making sure that we win the right work, the right contracts, appropriate margins and returns and appropriate risk partitioning between us and our customers and continue to high grade the backlog. And those are two of the three things that we think can drive better margin. And then as Jose mentioned, really good new – just better products. We've been investing in technology through this downturn, and we're seeing results in the marketplace. So I think continued growth products that carry higher margins with them because they add more value to our customers' operations will be kind of the third initiative that will help 2025.
Kurt Hallead: That's great. And my follow-up would be kind of curious to get your views on how the digital applications that you are deploying, how they're being adopted in the marketplace? And we've had conversations with a number of different companies where some see it more as an internal margin improvement generator and others are saying they've got significant external revenue opportunities. So maybe you can help us put that into context, too?
Clay Williams: Yes. For NOV, I think it's both. So we have our machine tools. We talked about this a quarter or two ago, machine tool monitoring capabilities that we're applying AI to help improve scheduling and efficiency of our own internal operations. We're applying AI to supply chain management and forecasting and things like that. And I think that's going to drive internal improvements. But equally, we're seeing really good traction amongst our customers around some of the digital initiatives that NOV has brought to the marketplace. So I've talked in calls past about our edge compute, our digital services that we offer to capture data in the field process data, put it into the cloud. This past quarter, the third quarter, the number of users of our Max Edge portal increased about 25% sequentially to over 5,000 users. I think we increased the number of assets that we have attached sensors to. They are feeding into that data, gathering efforts that spans, by the way, drilling and production as well as other industrial applications. We increased the number of assets about 9% sequentially and that's all – is part of this much larger digital ecosystem. And I think the point I would make about our initiatives here is, it's really all connected. And so we talk about wired drill pipe and high-speed data communication from the bottom of the hole. Well, that's important because it feeds into our operating systems for drilling rigs, our NOVOS system. It's important because it enables us to apply AI through our Kaizen application or through our drilling beliefs and analytics application and capture that data to translate it or transmit it back to our customers' home offices in real time to let their subject matter experts monitor what's going on. It builds sort of a digital foundation for higher levels of automation. And so this is required for our customers to adopt multi-machine control and drilling rigs, for instance, enabling our ATOM RTX drilling automation product, which is generating a lot of interest amongst major oil companies around the world, both offshore and land, and we're seeing repeat orders for that. And so very, very excited about not just the specific digital products or edge to cloud services that we can provide our customers, but also the fact that it sort of is the entry way for new hardware and new more sophisticated fit-for-purpose tools that can enable our customers to achieve higher levels of efficiency and safety. And I think they're very excited about that, too.
Kurt Hallead: That's great. Appreciate that. Thank you.
Clay Williams: You bet. Thanks, Kurt.
Operator: Thank you. And our final question for today comes from the line of Stephen Gengaro from Stifel. Your question please.
Stephen Gengaro: Thanks. Good morning, everybody.
Clay Williams: Good morning, Stephen.
Stephen Gengaro: Two for me. One probably for Jose and then – without getting into, obviously, 2025 guidance, when we think about the working capital parameters currently versus how we should be thinking about in 2025, are there areas we should continue to see improvement?
Jose Bayardo: Yes. Really good question, Stephen. So as I was saying earlier, we were confident that we sort of made the turn late last year as it relates to free cash flow, part of that was, as I mentioned, the moderating growth, but also tied to that is the sort of overall management of working capital. So we've made some good progress through the course of the year. We've got our working capital down to 31.1% of our revenue run rate. And we talked for a while about our expectations that our more normalized rate should be more in the realm of 27.5%. So that's our ambition to achieve by the end of next year. The way you asked your question was interesting because – you asked about the difference for some components that you should be thinking about as it relates to working capital. And I think that's something that maybe isn't fully appreciated by most people because we're a little bit different in that we have two line items in our working capital that are large and sort of unique to a large project type manufacturer, which is our contract assets and contract liabilities, which effectively represent down payments and effectively unbilled progress that we've made on major projects. And so one of the reasons I want to point that out is just to make sure people understand that. But also as we shift into 2025, resulting from not only the higher embedded margins that are within the projects that are in backlog today versus a year or two ago. The other improvement in terms of the structure of those contracts is they come with better financial terms as it relates to down payments, timing of milestones, all those sorts of things, which will further help us improve management of working capital in 2025 and ultimately, free cash flow.
Stephen Gengaro: Great. Thanks. That's good color, Jose. And then the follow-up, just quickly, I know you mentioned the Artificial Lift business earlier. What's sort of the update there? How is it going? What markets, et cetera? And how do you feel like that's progressing?
Clay Williams: Good. So the business that we acquired, we're delighted with the team. They had a really strong position in West Texas. We're moving into North Dakota. That's going well. We're also having good conversations in international markets. One of the headwinds we ran into in North Dakota is that we're hearing from our customers that the flowbacks have taken longer. And so that's, I think, delayed some applications of ESPs. And then additionally, some of the consolidation in the E&P space broadly in the United States has led to higher inventory of ESPs. And so – again, some near-term headwinds, tight activity in the U.S. But on the whole, great technology, very focused on really good service and fantastic customer relationships. And so we're very happy being in that space. And I would add I just talked about our digital technologies. We think there's application of edge technologies spanning these ESPs plus the production chokes and separators and production equipment that we have. And so we're kind of assembling a really interesting digital opportunity there for NOV.
Stephen Gengaro: Excellent. Thank you, Clay.
Clay Williams: You bet. Thanks, Stephen.
Jose Bayardo: Thank you.
Operator: Thank you. This does conclude the question-and-answer session of today's program. I'd like to hand the program back to Clay Williams for any further remarks.
Clay Williams: Thanks to all of you for joining us this morning. We look forward to discussing our fourth quarter and full-year results in February. And Jonathan, you may close out the call.
Operator: Certainly. Thank you. And thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.